Operator: Greetings, and welcome to the Clipper Realty Q4 Earnings Call. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Lawrence Sava, Corporate Controller. Sir, the floor is yours.
Lawrence Sava: Good afternoon, and thank you for joining us for the Fourth Quarter 2025 Clipper Realty Inc. Earnings Conference Call. Participating with me on today's call are David Bistricer, Co-Chairman of the Board and Chief Executive Officer; J.J. Bistricer, Chief Operating Officer; and Larry Kreider, Chief Financial Officer. Please be aware that statements made during the call that are not historical may be deemed forward-looking statements, and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the company's 2025 annual report on Form 10-K just filed today, which is accessible at www.sec.gov and our website. As a reminder, the forward-looking statements speak only as of the date of this call, February 26, 2026, and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures, including adjusted funds from operations, or AFFO, adjusted earnings before interest, taxes, depreciation and amortization or adjusted EBITDA and net operating income or NOI. Please see our press release, supplemental financial information and Form 10-K posted today for a reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will turn the call over to our Co-Chairman and CEO, David Bistricer.
David Bistricer: Thank you, Lawrence. Good afternoon, and welcome to the Fourth Quarter 2025 Earnings Call for Clipper Realty. I will provide an update of our business performance and some developments, after which J.J. will discuss property level activity, including leasing performance and Larry will speak to our quarterly financial performance. We will then take your questions. I'm pleased to report that our residential properties continue to perform very well due to continued high residential rental demand, generating excellent cash flow. Overall rents are generally at all-time highs and are continuing to increase, and we are nearly fully leased. In the fourth quarter, new leases exceeded prior rents by nearly 13%, generally consistent with last quarter across the entire portfolio, as J.J. will detail. We are also in the second quarter of initial lease-up at our Prospect House development at 953 Dean Street. We brought the property online in August on time and on budget and replaced the bridge loan last quarter, and it will provide funds through stabilization. We are presently approximately 78% leased with free market rents and about $85 a foot. This project was the ground-up development in Brooklyn, where we brought the land in 2021 and '22 and built a 9-story fully amenitized residential building with 160,000 residential rentable square feet, 240 units, 70% free market and 30% are affordable, 57 parking spaces and 19,000 commercial rental square feet. As to the office properties, we have settled the lender claims at 141 Livingston Street and obtained lender approval for a 5-year lease extension with the principal tenant, New York City, all as previously announced. At 250 Livingston Street, where New York City vacated mid-August, as previously disclosed, we notified the lender we did not intend to support the property's ongoing operations. And subsequent to the New York City lease termination ceased making payments of interest and real estate taxes and applied for reimbursement of expenses recurrent since then. Furthermore, we may not fund these expenses at the conclusion of the distribution discussions. We have begun to restructure the property debt, although we cannot assure that this will be the case. I will now turn over the call to J.J. to provide an update on operations.
Jacob Bistricer: Thank you. I am pleased to report that residential leasing at all our stabilized properties is very strong, and they are 99% leased overall. Rents are at record levels and continuing to increase over previous levels. Overall, new rental rate at residential properties in the fourth quarter exceeded previous rents by over 13% and renewals by 7%. We expect demand for our residential leasing product to remain strong in the foreseeable future and the overall rental housing supply in New York City remains constrained and new development discouraged. All our residential rents are now at record highs. In the fourth quarter, Tribeca House had leased occupancy of 99% overall, rent per foot of $89 and new rents at $95 per foot. The Clover House property had occupancy of 96%, average overall rents of $90 a foot and new leases at $95 a foot. Our fully stabilized [ Labgegards ] property had overall leased occupancy of 98%, average overall rents from all sources, including those under Article 11 agreement with New York City of $32 per foot and new leases of $54 per foot as we fulfill all our leasing commitments for assisted tenants and make required capital improvements. Our recently completed Pacific House property consisting of a blend of free market and rent-stabilized tenants had leased occupancy of 96% and free market rents of $76 per foot on new leases. Our Aspen property continues to perform at record levels with average occupancy above 98% and new rents and renewals 15% higher compared to previous leases. We have begun leasing at the newly completed Prospect House ground-up development at 953 Dean Street, which is now 78% leased with free markets at $85 a foot. Rent collections across our portfolio remains strong. The overall collection rate in the fourth quarter for all residential properties was approximately 98%, including Flatbush Gardens at 98% as we steadily work through the legal system to minimize arrears. Looking ahead, we remain focused on optimizing occupancy, pricing and expenses across the business to best position ourselves for growth. I will now turn the call over to Larry, who will discuss our financial results.
Lawrence Sava: Thank you, J.J. Our results this quarter versus last year reflect 3 unusual items, namely the termination of the New York City lease at the 250 Livingston Street office property on August 23, 2025, the initial lease-up results at Prospect House placed in service in August, reflecting excess of expenses over limited but growing revenue and the absence of results from the 10 West 65th Street property, which we sold in May 2025. I refer to the remaining properties as the "ongoing properties." We had revenues of $37.1 million versus $38.0 million last year, a decrease of $0.9 million, NOI of $20.7 million this quarter versus $22.6 million last year, a decrease of $1.9 million and AFFO of $1.7 million this quarter versus $8.1 million last year, a decrease of $6.4 million. The following details these results. For revenue, revenues reflect a $2.7 million or 9% increase from residential properties due to the excellent residential leasing J.J. and David noted above. This consisted of $2.2 million increase on the ongoing stabilized residential properties, a $1.5 million increase from the second full quarter of initial lease-up at the Prospect House property, partially offset by a $1 million decrease from the absence of the 10 West 65th Street property sold in May. The residential property increase was more than offset by a $4.0 million decrease from the New York City lease termination at the 250 Livingston Street property, partially offset by a $0.3 million increase due to new retail leases at the Tribeca House and Aspen properties. For NOI, the $1.7 million NOI decrease reflects a $1.4 million or 7% increase from ongoing stabilized residential properties, a $1.2 million increase from the inclusion of Prospect House this quarter partially offset by a $0.1 million decrease from the absence of the 10 West 65th Street property sold in May. This overall residential increase was more than offset by a $3.8 million decrease from the New York City lease termination at 250 Livingston Street. And as for AFFO, the $6.4 million AFFO decrease reflects for residential properties, a $0.6 million or 10% increase from ongoing residential properties, a $1.2 million decrease from the inclusion of Prospect House due to full expenses and partial leasing and a $0.2 million increase from the absence of the 10 West 65th Street property sold in May. These residential properties results are more than offset by a $6.1 million decrease from the 250 Livingston 3 property New York City termination and with full expense accrual. With regard to our balance sheet, we have $30.8 million of unrestricted cash and $27.3 million of restricted cash at the end of the quarter. As of the end of the quarter, our operating debt is 89% fixed at an average rate of 3.87% and average duration of 3.7 years. Our debt instruments are nonrecourse, subject to limited standard carve-outs and not cross-collateralized. We finance our portfolio on an asset-by-asset basis. Today, we are announcing a dividend of $0.095 per share for the fourth quarter, the same amount as last quarter. The dividend will be paid on March 19, 2026, to shareholders of record on March 12, [ 2096 ]. Let me now turn the call back to David for concluding remarks.
David Bistricer: Thank you. We remain focused on efficiently operating our portfolio. We look forward to full lease-up of prospect development, resolving in 250 Livingston Street and capitalizing on other possibilities that may present themselves. I would now like to open the line for questions.
Operator: [Operator Instructions]. There are currently no questions in the queue. I would like to turn the floor back to management for closing remarks.
David Bistricer: Thank you for joining us today. We look forward to speaking with you again at the next quarterly earnings call.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.